Graham Arad: Good evening, everyone. My name is Graham Arad, General Counsel of authID. Welcome to the authID 2023 Annual Earnings Conference Call. At this time, all participants are in a listen only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. With me on today's call are our CEO, Rhon Daguro; our CFO, Ed Sellitto; and our CTO, Tom Szoke. By now, you should have access to today's press release announcing our fiscal year 2023 results. If you have not received this, the release can be found on our website at www.authid.ai under the Investor Relations section. Throughout this conference call, we will be presenting certain non-GAAP financial information. This information is not calculated in accordance with GAAP and may be calculated differently from other companies' similarly titled non-GAAP information. Quantitative reconciliations of our non-GAAP adjusted EBITDA information to the most directly comparable GAAP financial information appear in today's press release. Before we begin our formal remarks, let me remind everyone that part of our discussion today will include forward-looking statements. Such forward-looking statements are not guarantees of future performance, and, therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today's press release. Others are discussed in our Form 10-K and other filings, which are available at, sec.gov. For those on the webcast, please note that we will advance the slides. I'd now like to introduce our CFO, Ed Sellitto.
Ed Sellitto: Thanks Graham. 2023 was a pivotal rebuilding period for authID where we leveraged the best that authID had, secured new identity domain talent, instilled new sales discipline and drove strong momentum in our book sales. I'm therefore pleased to report our 2023 GAAP and non-GAAP financial results and metrics. On Slide 3, the following highlights compare results from continuing operations for the 12 month period ended December 31, 2023 with the 12 month period ended December 31, 2022, unless otherwise specified. Total revenue for the year 2023 was $0.2 million compared with total revenue of $0.5 million for the 12 months ended December 31, 2022. The 2022 revenue included $0.3 million in revenue from a legacy authentication product that was discontinued in April 2022. Verified license revenue was unchanged at $0.2 million for both 2023 and 2022. 2023 operating expenses declined by 52% to $10.9 million compared with $22.8 million for 2022. The reduced expenditure reflects the Company's cost saving measures taken in the first half of 2023, resulting in lower headcount costs and lower third-party vendor costs. In line with the improvement in operating expenses, loss from continuing operations improved by 17% to $19.6 million in 2023, of which noncash and one time severance charges were $10.9 million. This compared with a net loss of $23.7 million in 2022, of which $12.3 million was noncash charges. The 2023 noncash charges were primarily comprised of the onetime conversion expense of $7.5 million related to the exchange of convertible notes per shares of our common stock that the company executed in May 2023. Accordingly, net loss per share improved to $3.19 for 2023 compared with $7.72 for 2022. Turning to our non-GAAP results on Slide 4. Adjusted EBITDA loss improved by 24% to $8.7 million for 2023 compared with $11.4 million a year ago, primarily due to the cost savings from our 2023 restructuring plan. Turning to our bARR or booked annual recurring revenue. We define bARR as the amount of annual recurring revenue we believe will be earned under our customer contracts, looking out 18 months from the date of signing of each contract. Net bARR reflects the deduction of bARR from contracts previously included in reported bARR, which were subject to attrition during the period. We're excited by the momentum the team is building with new sales bookings. Both gross and net bARR from contracts signed in 2023 were $2.9 million, approximately 12 times the $0.23 million signed in 2022. The company also monitors annual recurring revenue or ARR, which is defined as the amount of recurring revenue derived from sales of our verified products during the last three months of the relevant period as determined in accordance with GAAP multiplied by 4. The amount of ARR as of December 31, 2023 was $0.2 million compared to $0.18 million of ARR as of December 31, 2022. Moving to Slide 5. As we first reported on our third quarter earnings results call, we also monitor and manage our remaining performance obligation or RPO as noted in our financial statements for the period in accordance with GAAP. RPO provides a sense of the minimum expected revenue to be recognized from our signed contracts based on customers' contractual commitments. As of December 31, 2023, our total RPO increased by 116% to $4.03 million from the third quarter of 2023 where total RPO was $1.87 million. The year end RPO includes deferred revenue of $0.13 million as noted on our balance sheet. Deferred revenue represents advanced payments received, which are not yet recognizable as revenue. The RPO also includes $3.9 million in additional noncancelable revenue under contracts that were signed in 2023 but which has not yet been recognized. We expect to recognize the year end RPO of $4.03 million over the entire life of the contracts, which are typically signed with a three year term. Further, based on our contractual commitments and expected usage patterns, we expect to recognize approximately one third of this RPO as revenue over the next 12 months. While the RPO is based on contractual terms agreed by our customers, the expected time to recognize revenue is based on our best estimates given the current known facts and circumstances. Of course, while RPO is based only on minimum contractual commitments, we have reason to believe that each of these customers will exceed their minimum commitments. Turning to Slide 6. As part of our efforts to advance our short and long term growth, we actively review our progress through our revenue growth stages. Looking from left to right on this slide, we see our progression to sustainable revenue growth beginning with bookings as measured by bARR. From there, we actively monitor and manage our customers' financial commitments through our RPO metric. As we onboard new customers and drive usage on our platform, those commitments are then converted into recognized revenue. Finally, as our customer relationships mature, our focus will move to deepening these relationships with continued growth, renewals and the upsell of new value added services. As shown at the bottom of the page, our team had a pivotal year of growth in 2023 where we saw significant progress in the first two stages with almost $3 million in bookings and over $4 million in remaining performance obligation. In January 2024, with the funding provided to us in November '23 by our investors, we brought on additional sales and sales engineering talent to help us continue our sales momentum by expanding our pipeline, advancing new opportunities and booking new sales. In 2024, we also added resources to our customer success team for diligently managing and progressing our customer implementations to shorten time to revenue and advance our revenue growth. This team is laser focused on deploying and refining proven customer implementation methodology to help customers meet projected go live dates, establish full service rollouts across contracted use cases and meet and ultimately exceed their minimum contracted commitments. Finally, customer success works closely with our sales leaders to renew customer contracts, cross-sell existing solutions across additional enterprise use cases, and upsell new solutions. Based on our ability to turn contracts into live customers, we are confident that we'll make progress toward increasing our ARR and overall revenue during 2024. In summary, I'm extremely excited to be part of authID's growth story to advance our market position and to help lead us to the next stages of our growth. With that, I'd like to turn the call over to our CEO, Rhon Daguro.
Rhon Daguro: Thank you, Ed. I'm also excited to be here, and I'm extremely proud of our 2023 accomplishments. I came to authID because of the strength and the value of its technology and the opportunity to build a high performance sales machine with the necessary go to market skills required to achieve long term growth. And in 2023, we laid a strong foundation for continued growth and market leadership. Let's look at our progress. 2023 was a pivotal turning point for authID where we made a reboot across all facets of the business. In just a little over six months, we completely rewrote the authID story, secured new talent with deep identity domain knowledge, enhanced our patented identity platform, improved strong product market fit and demand for our biometric verification and authentication solutions. Looking at the timeline. In late March and April, we saw the reconstitution of our Board of Directors and my appointment as CEO and Director. And in May, our investors provided infusion of capital and a debt to equity conversion that together helped improve our balance sheet, regained NASDAQ listing compliance. Our investors continue their support through an additional $9 million of fund raise of capital in November, for which I extend my deep appreciation for our investors, who put their faith in our ability to leverage what they have already built and gave us the opportunity to succeed. With funding in place, my next priority was to implement a sales discipline using a proven formula that I have successfully implemented as a former Chief Revenue Officer. These efforts were rewarded quickly with record contract bookings of $239,000 in Q2, outperforming in one quarter all that the company had booked in all of 2022. Our contract with ABM Industries represented a first ever win with authID with a well established Fortune 500 New York Stock Exchange listed company. Critical to winning this deal was authID's ability to provide an easy-to-use, secure biometric authentication experience on a shared computing devices that eliminated password risks and struggles for over 100,000 service workers. Moving to Q3. We added more talent to the team. Joining us in August as CFO, Ed Sellitto, has been integral to our success by providing strong discipline to our sales pipeline management and revenue optimization efforts. Our new sales executives who joined in July quickly built out authID University and put customer wins on the Q3 scoreboard valued at $1 million in new bARR with new use cases across fintech, telehealth and workforce. Our Q3 booking contracts represented a successive 300% increase over our Q2 bARR, and more than 25 times the bARR earned in Q3 of 2022, truly phenomenal performance for our team who had only just started. In the fourth quarter, we continued to accelerate our momentum with bookings of new customers that included an international digital wallet and an entertainment social commerce platform. These wins notched a phenomenal bARR value of $1.7 million, a 64% increase over our third quarter bookings. While our sales leaders were busy winning deals, our highly skilled product and engineering teams maintain our commitment to delivering market leading technology and addressing customer needs through eight major releases and six minor versions of our identity life cycle platform. They met critical customer security requirements with the Q4 renewal of our ISO 27001 certification. We were also recognized by outside professionals for innovation and value our services deliver when the CSO50 Award was presented to ABM for excellence in password less authentication. Supported by the commitment of our investors and the value of our patented technology, our teams secured a cumulative bARR of almost $3 million in sales bookings, representing 1,200% growth over 2022, and the highest total gross bARR that authID had previously reported for any annual period. Moving to Slide 9. And only in the last six months of 2023, we changed the trajectory of authID with several key noteworthy results. First, authID had record net new bookings growth. Our team quickly built a robust sales pipeline for both short term and long-term expansion and put record breaking deals on the board. By the end of Q4, this team realized our 12-month sales bARR goal of $3 million originally targeted for June 2024 in just six months. Said differently, we surpassed our milestone in half of the projected amount of time. Second, we are actively growing customer size with record deal volume. In 2023, our team secured a number of record sized deals, including six new customers valued at over $100,000 in bARR. We also booked two customers valued at over $500,000 in bARR, authID's very first customers ever of this size. In 2022, the tally for both of these metrics were zero. Third, we increased the record number of customer contractual commitments. As I've mentioned before, we are actively measuring our revenue performance obligation, or RPO, representing the minimum fees that our customers have agreed to pay over the life of each contract. As of December 31, 2023, our total RPO grew to over $4 million, far surpassing authID's 2022 performance by an amazing 4,800%. To ensure we onboard these new customers efficiently and speedily, our recently augmented customer success team is managing customer implementations. Once these new customers go live, we will start to see the benefits of our sales achievements reflected in top line revenue. Based on our ability to turn contracts into live customers, I'm very confident that we will start to see significant progress in revenue growth shortly here in 2024. I would now like to turn the call over to Tom Szoke, our Chief Technology Officer, who will talk about the market trends that will drive our growth in 2024 and beyond.
Tom Szoke: Thank you, Ron. Turning to Slide 10, the market drivers. Every day, cyber attacks and ransomware, the number one fraud profit model are in the news. Last quarter, we cited the attack on several casino giants where fraudsters used a simple hack by calling into the casino help desks and impersonating key IT managers, resulting in losses of over $100 million. Just in the last few weeks, headlines have featured the multimillion-dollar ransomware attack on a US healthcare insurance payment provider and stopped vital payments to hospitals and doctors and threaten disruptions to critical patient care. Unfortunately, these companies did not know who accessed privileged user accounts, learning the hard way that assumptions of identity trust are no longer sufficient security. And just as cyber attacks, ransomware and fraud dominate the headlines, the buzzwords deepfakes and AI also topped the news. In fact, we barely had time to enjoy the potential of generative AI and we had to start worrying about its corrupt use. Yes, now the top headlines fraud and AI have met. So the thing that's supposed to be our next great helper is now our adversary, with AI making it easier even for those with little to no hacking talent to become fraudsters and hide behind artificial identities. Yet in many of our sales meetings, the CTOs and CISOs we speak with every day admit that they simply do not have the knowledge, expertise or systems to combat the rise in deepfakes. This increased rate and growing sophistication of fraud attacks is why digital companies across financial services, gaming, hospitality and higher education are turning to authID. Turning to Slide 11. Adversarial generative AI increases the effectiveness and frequency of deepfakes, social engineering fraud and ransomware attacks, while lowering the bar and needed skill set for launching those attacks. Fake IDs, fake faces, fake voices are rampant with North America alone seeing over a 1,700% increase in deepfakes. Powered by AI, phishing attacks can now be generated at an industrial pace as evidenced by the over 1,200% increase in phishing e-mails and almost 1,000% increase in credential phishing attacks. A Gartner study of leading executives found that generative AI was deemed to be their second biggest corporate risk. And note that it takes an average of 204 days to detect a breach, Imagine the damage that can be done through corporate assets and personal accounts in one day, let alone 200 plus days. This is why it is critical for the digital economy to verify users, especially privileged users, whose accounts are the most dangerous in the wrong hands and to verify them early and often. Our cyber savvy customers recognize they must identify a user, not only day zero when a user is first onboarded but every time thereafter when the user attempts to access sensitive assets. Turning to Slide 12. So what are we helping our customers defend against? Deepfakes. Deepfakes’ so sophisticated a manual human inspection cannot properly detect them. so detailed than most legacy detection methods cannot identify them. There are different types of deepfakes based on the degree of sophistication. The simplest deepfake is termed face swapping, where John swaps out Joe's face for his. Next is face synthesis, whereas synthesized facial image is created. And finally, deepfakes that perform face manipulation on synthesized images or videos can create even greater realism and make the fakes even more difficult to detect. So how are deepfakes used? They can be used in presentation attacks where the deepfake is presented to a camera from a high-resolution screen of another device. Second, they can be used as an injection attack where the deepfake is inserted using either hardware, software or network attack vectors. Given the complexity of deepfakes and the types of attacks they represent. authID built a layer defense solution that balances fraud detection with ease of use. Starting at the client side, our layer defense checks the endpoint device used in the transaction, performing over 50 checks, our platform confirms array of items, including device integrity, camera integrity, data integrity and code integrity. Our technology then moves to the next defense layer with a capture and analysis of the images conducted, here visible and invisible artifact characteristics of the image are inspected and deepfakes are detected. To ensure we protect against a man in the middle network attack, the created image payload is signed and encrypted. Moving then to our back-end layer defenses. The platform analyzes the image payload to determine if a presentation attack or injection attack is being performed. If the platform determines that the integrity of the image is captured as good, meaning no deepfake, no man in th -middle attack, no presentation attack, no injection attack have been performed. The images process into a biometric template and sent to our biometric matching subsystem. Here, an algorithm with a false acceptance rate of 0.01% the biometric template is processed against a reference template in the system. The end result is the authentication of a person using their facial biometrics and accuracy of 99.99% with a deepfake presentation and injection attack detection of greater than 99%, all analyzed and processed within a market leading 700 milliseconds or less. The digital economy can only thrive if fraud can be controlled and good customers can easily conduct commerce. Our strong layer of defenses against the ever-evolving AI generated threats coupled with a lightning quick user experience is our winning value proposition. These capabilities are driving recognition of authID as a preeminent market expert in stopping deepfakes and fraud attacks and delivering trusted biometric authentication. Turning to Slide 13. authID pioneered the delivery of world class biometrics with precision, speed and accuracy. In 700 milliseconds or less, we delivered the fastest, frictionless biometric authentication experience performed over the web without expensive specialized hardware. Like FaceID, our tech auto launch of the camera that snaps the user selfie with no intervention and no forced user gestures. Our customers understand that current authentication methods no longer provide the security needed to detect deepfakes and fight today's rampant account takeover schemes, knowing who is behind the device is critical to protecting their company's most valued assets, their corporate data, their employees and their consumers. Leading digital economy players are turning to authID for best-in-class biometrics expertise and solutions to deliver absolute identity assurance for their workforce and consumer platforms, not only on day zero but every day thereafter. Our customers should not have to compromise cybersecurity and identity assurance for a frictionless user experience. authID delivers on both. Now I will turn the call back to our CEO, Rhon Daguro.
Rhon Daguro: Thank you, Tom. In just six months, we shifted the authID story towards identity domain leadership, momentum and growth. Today, recognition of authID as a market leader offering thought leadership and delivering strong identity assurance solutions is growing. CTOs and CISOs across the digital spectrum value our identity expertise and recognize that our platform provides the critical tools they need to defeat deepfakes and the advances of adversarial AI. With fraud and ransomware lurking as ever constant and evolving threats, our customers understand they must know with a certainty who's behind the device, not just during onboarding but also every day thereafter. The authID identity platform is a market leader, delivering the strongest identity assurance in 700 milliseconds. It's the fastest biometric processing in the market as measured and celebrated by our customers. With generative AI spawning a higher rate of eve increasing sophistication in fraud and deepfakes, we will continue to innovate in our product roadmap to deliver technology that stays ahead of fraud trends and allows us to be thought leaders and biometric experts to our customers. We are transforming authID into a sales led organization of deep subject matter experts who will continue to help us continue our trajectory to build a high growth business with a robust pipeline, strong bookings and predictable revenue. Our sales leaders, along with the pipeline group, our lead generation team, are working side by side to identify new prospects, nurture sales deals and build quarterly pipeline of $9 million in sales opportunities. Further, with an expansion of prospects and use cases in our pipeline, we iterate our target of $9 million in bARR for 2024, a tripled growth target over 2023. Building on our strong momentum of 2023 book sales, we are focusing efforts on driving revenue. Our expanded customer success team has implemented a robust process to take new customers live as quickly as possible, to speed up time to revenue and ensure minimum contractual commitments are met, and absolutely to explore new use cases to drive additional service usage. For existing authID customers, this team is focused on delivering outstanding value to ensure we win renewals, maximize opportunities to expand our relationships and minimize churn. I'm extremely pleased with the momentum we built over the last six months of 2023. The hard work we did in 2023 places us on a path to deliver innovative product roadmap, an expanded sales pipeline as well as increased bookings and revenue in 2024. Preserving the best of what authID had we added the industry's deepest domain expertise in identity to truly create a best of breed team for finance, engineering, sales and contract execution. I want to take a moment to thank our investors for their continued support in authID, and to extend my deep appreciation to the entire authID team for all their hard work and dedication. Together, we have repositioned the company for even greater success. We would now like to open up for questions. Let's turn back to Graham who will moderate.
A - Graham Arad: [Operator Instructions] While we're waiting for questions to come in from attendees, Rhon, perhaps you could expand a little bit more on where you see our place in the market compared to our competitors?
Rhon Daguro: There's a lot of biometric technology using companies that are out there but what they do is they play in specific steps in the digital onboarding journey. The difference for authID and the way we look at our competitors is we're actually a full complete end-to-end solution. We go all the way from onboarding to the repeated authentication of logging in over and over again, all the way to the part where they actually lost their account or somebody is trying to do a self service password reset on their account, which we call recovery. These are the areas that some players only do one, maybe they need two, but they don't -- they very seldom do all of them, and there's very few that do it very well. And again, the whole user experience is what we do and make sure that, that entire journey and that entire user experience is the best possible. That's why we keep emphasizing speed and the 700 milliseconds. So that's really the main differentiator between us and the competitive landscape today and it's really a bright future for us.
Graham Arad: We do have a question now, and this is from [Ricky Solomon].
Unidentified Analyst: So a lot of the information is backward looking last year and so I just -- we're already almost three months into this quarter. Can you talk about some of the sales momentum we're seeing coming this year, the types of customers that we're talking to and maybe how the new sales members are adding to the pipeline or their strengths in verticals that they particularly have experience and customers maybe already -- that they've been talking to? So anything you can add to that.
Rhon Daguro: I have to be a little careful because I can't name customers because of the space that we're in with security, but we are -- the new folks that have been added to the organization have been contributing to building pipeline. So that's where we're able to try to build at a rate of $9 million in pipeline per quarter. So that's where all that contribution is going towards. We have -- we're super busy with POCs and we actually set up this thing called a deepfake workshop. So as Tom talked about earlier, when we speak to our CISOs and CTOs, just speak to anybody in general, there isn't a university or a course on how to fight deepfakes. So everybody is figuring this out now and they're trying to figure it out like immediately and there just isn't expertise. Luckily for us, we've had that expertise for a while and we basically created a workshop to be able to educate CISOs and CTOs. So that's really been the bulk of our kind of dominant of our conversations and the meetings that we're setting up, and we're setting up meetings with great companies, large and small. We're not saying no to anybody. And we're really going to market hard with showing how we can protect these companies against deepfakes and adversarial AI.
Unidentified Analyst: So both the [FAST] 100 and -- like the [FAT] 100 and [FAST] 100, we're making progress with both. And do you expect to close at least a couple of [FAT] 100s this year? Maybe not everyone on the call might know what the term [FAT] 100 means, so maybe you can talk about that.
Rhon Daguro: So we didn’t talk about that. So thank you for bringing that up. We have a strategic set of accounts that are of a smaller size and then we have another set of strategic accounts that are of larger size. And so the larger size accounts, obviously, will take longer. We've shared in the past that they can take anywhere between nine to 12 months to close and then some of the other ones are a little faster where it can take anywhere between three to six. We are attacking both, absolutely are attacking everything but we are absolutely attacking in both buckets. And some of them are taking the exact time said, which is nine to 12 months and some of them are moving faster. For example, for all the deals that we booked in 2023, those deals weren't supposed to book. They were supposed to follow the three to six month cycle and actually carry us out to June of 2024 this year in order to hit our $3 million in bookings. So sometimes they move fast, sometimes they move slow. Obviously, we're going to stick around and service those customers, but we're absolutely going after both types.
Graham Arad: We've had a couple of questions relating to how bARR gets converted into revenue. Perhaps I can forward this to -- shoot this one to Ed. So one question is, how long does that process take? And talking about the $3 million of bARR that we have, what is the progress with converting that into revenue?
Ed Sellitto: So when we sign -- I'll speak to it in terms of the journey of a deal that flows through our P&L -- to our P&L and touch on some of the things we talked about earlier. But once we sign a deal, the contractual commitment for that deal over the term of the contract will be -- what goes into what we've been talking about is our remaining performance obligation. That will then turn into revenue and the timing for that to convert into revenue will be approximately -- well, it will take about three to four months for us --- for the customer to go live. And at that point, we've started to deliver the service that can be used by the customer and we will see the remaining performance obligation, the contractual commitments, start to prorate for the balance of the first contract year and then so forth for the second and third year. So the short answer would be around three to four months is what we've seen on average is to get customers live and that's sort of what we are seeing with the customers we've signed to date. So therefore, we have not started as of the end of 2023 to recognize the RPO from those deals. However, we are very -- we've progressed very far with many of those deals even by the end of December '23 and we expect to see one third approximately of the RPO be recognized during 2024 and that should start to see that happening early in the year.
Graham Arad: Tom, we have some technology questions. So I could ask you one, talking about the speed of our systems and how fast they are, halfway claiming to be faster in the market. How does this compare to our competition, what is the sort of range of processing speed for biometrics that is seen in the marketplace?
Tom Szoke: I mean, we're seeing typically for biometrics, about 10 times slower on average. So up to 7 to 10 seconds between the user experience. So we look at 10 times from the -- probably the fastest group and it can exceed 15 to 20 seconds in some competitors depending on the amount of friction they put in to determine all the…
Rhon Daguro: But the most important thing here, though, is consistency. So we'll see somebody go 5 seconds or 7 seconds, but then they can't sustain 5 to 7 seconds in performance, where we can sustain the 700 milliseconds every single time.
Graham Arad: Yes, that does seem to be significant. We have another question from the audience, from Dean [Cadaques].
Unidentified Analyst: Congratulations again on great performance in 2023. Have any of the bARR clients go on live so far?
Ed Sellitto: So yes, as I mentioned a little bit earlier, as of the end of 2023, which we're reporting with our results today, we have not had any of those customers go live, although, we have seen a lot of progress and we do expect to start seeing those go-lives early this year. We can't comment on the status of revenue projected into Q1 at this point, but we have made a lot of progress on that. Though, to your question, as of the end of December of 2023, we have not gone live with those customers at that point.
Graham Arad: Tom, going back to the technology. Can you talk a little bit more about the use cases that we're seeing in the marketplace, where the demand is, what are the needs, frankly, of the market, in terms of the use cases that we have to offer?
Tom Szoke: I think as Rhon iterated, the use cases are reflecting the need to onboard people and ensure they know who the customer is at that point. But what is really exciting and what is in demand is to be able to reaffirm the identity of that person every time they return to the applications they access or the systems they go into. The ability to do that and with the assurance that they know who's behind the device, it's not an assumed identity, it's a known identity and it's tied back to that onboarded -- onboarding process is where we see the use cases coming from.
Graham Arad: And we've, in the past, thought about consumer as opposed to workforce, and obviously, one of our biggest customers is workforce, some of the other customers are consumer. Are we seeing any greater emphasis one way or the other towards each of those markets?
Tom Szoke: I think you see both today, I mean a lot of the breaches that occurred. And we saw in the news recently are workforce related privileged users. Clearly, we talked about it in the presentation, our target because once you get access to their credentials, you're in a system and you can do a lot of damage. And on the other side, we see a big interest in the financial services, fintech area, where, as we mentioned, different wallet applications, the movement of funds and sensitive -- and access to sensitive systems is critical on the consumer level as well.
Graham Arad: [Operator Instructions] Whilst we're waiting for other questions, Tom, could you -- you did talk about -- you have talked about our technology and how we are the most accurate and consistent. But in the face of all of the new types of attacks, how can we be sure -- how do we assure our customers that we really have that 99% accuracy and 99% ability to detect those types of frauds?
Tom Szoke: As I described, our technology goes through layers. Each layer represents a certain level of security. When you combine those, you look at all the attack vectors and you try to limit them from each perspective. When you put that together in a single flow, you achieve that level of assurance. We've seen this, we benchmarked it with different tests internationally and within like national organizations and looked at different benchmarks on accuracy of our algorithms. We have the ISO certification for our presentation attack detection, we've achieved Level 2 with zero spoofs. So those are the kind of things we use to ensure our clients that we have that level of security. I believe, Graham, Ricky has a question.
Graham Arad: Ricky, go ahead.
Unidentified Analyst: So I know we've made a lot of progress hiring engineers. So engineering, clearly, a focus of the company. Can you talk about how you're feeling about the product development, the engineering, how quickly that's turning in and what your plans are going forward in terms of maybe adding to that department or what we need to do?
Tom Szoke: So I mean clearly, Rhon talked about how many major and minor release and eight major, six minor sub-releases were made just in the period in 2023. We're continuing on that path. We released a build, a new version every 30 days is our sprint cycle. We are expanding the capabilities of our platform. We're continually improving the user experience. I know we have the best but you got to maintain the best. And we're always adding new innovation to make it easier and quicker for our consumers to use and customers to use our products. Secondly, we're always looking at improving the way we can deliver information as far as dashboards and those kind of things, reporting is critical. So we're expanding the team in many different areas that cover these things. And as we need the growth, we add the engineering capacity. We have added, as we mentioned, new heads to the organization to bring that expertise and ability to deliver those functions and features during this year. You still got your hand up, Ricky, do you still have a question?
Unidentified Analyst: No, I lowered it. Thanks.
Graham Arad: We have one more question. When we're competing with other biometric vendors, can you -- Rhon, perhaps you can talk about what are the decision criteria that customers use when they're comparing solutions? What is their focus, is it performance, accuracy, ease of use, what do you feel are the key criteria that we win on?
Rhon Daguro: Well, typically, our competitors or typically, our customers already have a baseline solution in there. And typically, they are looking for ways to either one, improve on two areas. Either, one, improve on the user experience or improve on the performance, meaning improving on the accuracy. And so precision and identity, they go hand in hand -- extreme precision in that regard. And so our competitors where they have been not performing is one on the precision side of the house as well as the user experience. So those are definitely the two biggest factors. There's, of course, cost and there's another thing called like ease of implementation, meaning, will it take their developer six months to integrate it, can they integrate it in a single afternoon, what's really great about the authID solution is that we're all API based, so we can actually integrate with the customer if they wanted to in a single afternoon and give them ability and full capability to be using our products in a sandbox. So definitely, some of the things like, for example, when ABM did their press release, they talked about; one, our expertise and how we architected the entire solution; two, our speed; three, our user experience; and then lastly, when they won the award, it was the entirety of the whole passwordless authentication solution.
Graham Arad: Yes, that was very significant and very heartwarming frankly, to get that kind of approbation from our customer and from their peers that gave the CISOs, that gave us the award at that time. Well, that seems to be all the questions that we have right now. Of course, investors are able to reach out and ask us any further questions by contacting us at Investor Relations at authid.ai. Rhon, perhaps you'd like to conclude and wrap up the call?
Rhon Daguro: Yes. Thank you, Graham. So thank you, everyone, for your questions and absolutely thank you for your time today. I want to thank our investors’ efforts to pivot authID to be a high growth company that it can be. I assure you that we continue to be maniacally focused on our mission to help today's digital enterprises know who's behind every device. Have a great day. Thank you, everyone.
Graham Arad: Thank you, everyone. That ends the call.